Chuya Aoki: Thank you very much for participating in the Dentsu Group Inc. Online Fiscal Year 2021 Second Quarter Earnings Call. I am Chuya Aoki from Dentsu Group's IR Office. This call is held on the Zoom webinar. Please be aware that the call is being recorded. This call is simultaneously held in Japan and overseas. [Operator Instructions] Next, I'd like to guide you into the materials that we are using today. Today's presentations are provided on our website named fiscal 2021 and Q2 earnings call presentation materials. For participating, participants via the telephone line, please make sure these documents are available to you. Joining me today are, from Tokyo, Toshihiro Yamamoto, CEO, of the Dentsu Group.
Toshihiro Yamamoto: [Foreign Language]
A - Chuya Aoki: Hiroshi Igarashi, CEO, Dentsu Japan Network.
Hiroshi Igarashi: [Foreign Language]
A - Chuya Aoki: Yushin Soga, CFO, Dentsu Group.
Yushin Soga: [Foreign Language] Hi, everyone.
A - Chuya Aoki: From the U.S., Wendy Clark, Global CEO, Dentsu International.
Wendy Clark: Hello, everyone. This is Wendy Clark.
A - Chuya Aoki: From the U.K., Nick Priday, CFO, Dentsu International.
Nick Priday: Hello, everybody. Nick Priday, here.
Chuya Aoki: These are the participants today. Following this introduction, we will hear from the -- hear the Q2 fiscal year 2021 review and highlights from Mr. Toshi Yamamoto. After his presentation, Yushin Soga will continue to explain the Q2 fiscal year 2021 financial update. And then Yamamoto, Igarashi and Wendy Clark will explain the update on the mid-term management plan. After that, we will invite questions from you. The call is scheduled to end at 8 o'clock in the evening Japan Time. It may be extended by 15 minutes if needed. Mr. Yamamoto, please.
Toshihiro Yamamoto: Thank you. Once again good morning, and good evening to you all. This is Yamamoto, CEO of Dentsu Group. Thank you for attending our group's fiscal year 2021 second quarter earnings call. Please take a look at Slide number 2. This page is on Q2 fiscal 2021 review. The group's recovery continued into Q2, delivering a significant improvement in performance, with organic growth of 15% for the group. Since the group's margin delivery continues to exceed expectations as we have delivered margin improvement of 370 basis points year-on-year from April to June, reaching 12.2%, similar to the level last seen in the second quarter of 2018. This performance demonstrates the commitment of our people combined with the strength of our offer and confirms our confidence in our fiscal year recovery. The recovery has been led by the post pandemic balance in media spend, although there are some regional differences. We also have seen significant client investment continue in our customer transformation and technology business, data management, commerce and customer experience, which is one of the main focus of today's presentation. We returned to acquisitions in the second quarter with the announcement of LiveArea, a global customer experience and commerce agency that will join local brand within Dentsu International, a demonstration of our commitment to grow customer transformation and technology to 50% of our business. Let us proceed to Slide number 3, Q2 highlights. We have a number of successes to share from our second quarter. Today, all companies are aiming to renovate their businesses with digital transformation at the core. For our clients, Dentsu Group, is becoming one of the strategic partners for digital and business transformation, with expertise in marketing and customer transformation and technology. There were 2 typical projects that proved the successful expansion of customer transformation and technology in the second quarter. Dentsu Japan Network was chosen as 1 of the 3 strategic partners from Japan Post digital in charge of JP group-wide digital transformation together with Rakuten and Sompo. Second, SMBC Financial Group and Dentsu Group, co-established SMBC digital marketing to jointly develop a digital business beyond financial services. At Dentsu International, we further expanded our existing relationship with Nestle into new markets as well as expanding our footprint with clients such as Amex and GSK. Moving to sustainability and ESG. I am proud to announce Dentsu Group has joined the World Business Council for Sustainable Development, a CEO-led network of like-minded global companies committed to accelerating the transition to a more sustainable, restorative and inclusive economy. Dentsu also joined the Cambridge Institute for Sustainability Leadership. This initiative will bring together Croda, Dentsu International and IKEA's parent INGKA, to co-create new approaches for building inclusive, nature positive, circular, net 0, and resilient business strategies and models. We have extended our commitment to sustainability even within our finance function, demonstrating the alignment with Dentsu International's ambitious, social impact strategy, and net 0 reduction targets. Dentsu International recently replaced its undrawn revolving credit to a facility whereby the margin of the facility is partly linked to the performance of ESG-related KPI, such as carbon emission reductions and on gender diversity in leadership. In addition, Dentsu Group's stock compensation plan has been extended to selected executives at Dentsu International for greater alignment of senior management interest to our stakeholders, including the shareholders to drive profitable growth. You can find the details in our latest published integrated report. Next, on our industry recognition. At the Cannes Lions, Festival of Creativity, Dentsu Group was awarded a total of 24 Lions, including a coveted Grand Prix. Creativity is what makes us unique, a belief held across every Dentsu office in the world. Dentsu was commented as a strong performer in Forrester Wave for commerce service and received the highest evaluation for Marketing Cloud and Commerce Cloud. Dentsu was also recognized for Salesforce consulting partners. Dentsu is the only agency recognized in this criteria, differentiating ourselves from our peers. I will now hand over to Soga-san to talk through our financials.
Yushin Soga: Thank you, Yamamoto-san. I would now like to take you through the financial results for Q2 and first half of 2021. Starting with our headline Q2 results. We reported revenue less cost of sales of JPY 218 billion, resulting a record 15% organic growth and an operating margin of 12.2%, a 370 basis points increase year-on-year. A strong set of results. This slide shows the sequential quarterly improvement in organic growth in both Japan and internationally as we have benefited from recovery in client spend since the low point of Q2 last quarter. In the quarter, we saw post-pandemic cyclical recovery, driving demand for media and advertising as this is the quickest way for brand to reengage with their customers. Demand for digital solutions remains strong. And we expect to see customer transformation and technology continue to show structural growth in the medium term. Moving on to our first half headline results. Revenue less cost of sales increased 5.6%. Underlying operating profit was up 35.9%, with margins continuing to exceed expectations, improving 360 basis points to 16.3%, the highest first half margin the group has delivered in 5 years, demonstrating our commitment to delivering against our margin targets. On Slide 8, we see organic growth broke down across our 4 regions. Japan, in which organic growth rate was 12% in Q2 and 4.5% in H1, saw strong growth in digital and recovery in television. In the Americas, accounting for 25% of the group revenues, both Canada and the United States reported double-digit organic growth, resulting in 15% organic growth in Q2 and 5.1% in the first half. We also saw a number of new account wins across the region. EMEA, at over 22% of our group revenues, was the strongest region in the second quarter, reporting 22% of organic growth in Q2 and 8.7% in the first half. France, Spain and the United Kingdom all delivered above 20% organic growth for the quarter, demonstrating the economic recovery across the region following the impact of COVID-19. APAC, at 10% of our group revenue, reported double-digit growth in the second quarter, driven by double-digit growth from Australia, Indonesia, Korea, Singapore and Thailand. Australia saw the expansion of a number of existing client relationships across service lines. China reported high single-digit organic growth and a strong new business performance in the quarter. India reported revenue decline for the quarter, impacted by the recent resurgence in COVID-19 cases. Now on into Japan network companies. Dentsu Inc. is on the track of recovery backed by strong demand in television and digital advertisement. Dentsu Digital saw strong growth in both media and digital solutions, reporting 43.1% organic growth in the first half. ISID was slightly down year-on-year following double-digit growth last year boosted by one-off projects. We remain confident in the market positioning for ISID and continue to work closely with them. Over 20% of ISID sales are from collaborative projects with Dentsu Group. Dentsu Tec business continues to be impacted by restrictions in place in Japan. The overall pitch environment remains strong in Japan, but the number of pitch is up year-on-year in the first half, with our win rate improving as well. Plus, we have seen an increase in the pitch size with clients looking for larger solutions. In Dentsu International, Media saw the strongest recovery in the second quarter, reporting 24.4% organic growth and 11.1% for the first half. Media performance was driven by strong in demand in EMEA and the Americas due to new business conversion and increased spend in existing clients. Creative saw a significant improvement with the return to growth, reporting 7% organic growth in Q2, driven by the U.K., U.S. and Australia. Experiential businesses, particularly in EMEA, continued to operate in a challenged environment, offsetting stronger growth in the underlying Creative business. The first half performance was minus 2.5%. CXM is now 33% of Dentsu International revenue. And the second quarter saw a return to double-digit growth of 12.2%, driven by demand for data-driven technology-enabled solutions. The first half reported 4.5% organic growth. This slide covers the movement of revenue less cost of sales at an year-on-year basis. Organic growth is the driver of the revenue increase. Revenue less cost of sales increased year-on-year to JPY 440.5 billion. Slide 12 shows the movement of underlying operating profit year-on-year. Both Japan and International benefited from a revenue improvement, whilst simultaneously achieving cost efficiency, improving operating profit to JPY 71.6 billion for the first half. Reconciliation of operating profit from underlying to statutory. Compared with the previous year, underlying operating profit for the first half was plus JPY 18.8 billion year-on-year, while adjusted items totaled plus JPY 36.7 billion year-on-year, resulting in statutory operating profit of JPY 84.3 billion, an improvement of JPY 55.6 billion year-on-year. On one-off items, the group recognized a gain on sale of 2 property assets in Japan amounting to JPY 29.4 billion in total. Business transformation costs had a positive impact on statutory operating profit. Lower-than-expected restructuring costs mean that we were able to deliver the total expected savings we have promised, but at a lower cost. This slide is on reconciliation from underlying to net profit. The adjustments made to the operating profit explained in the previous slide was JPY 12.7 billion. This was offset by the loss on the n revaluation of earn-out liabilities and M&A-related put-option liabilities of approximately JPY 16.2 billion. This was due to an increase in corporate value of subsidiaries that are expected to improve as a result of improving performance of international acquisitions. As a result, statutory net profit for the quarter was JPY 36.1 billion against underlying net profit which was JPY 43.1 billion. Next, our new guidance for 2021. We are expecting revenue less cost of sales of JPY 936.9 billion based on cyclical recovery, with both DJN and DI to deliver high single-digit organic growth. Underlying operating profit is forecast to be JPY 153.5 billion, with a group margin at 16.4%. We have a line of sight to delivering the 2022 margin target one year early, 20% in Dentsu Japan and 50% -- 15% for Dentsu International. Also, the group underlying net income will be JPY 94.1 billion. In the statutory operating profit and statutory net profit, the sale of the headquarter's building is assumed. On dividends. In our medium-term plan, we had announced a progressive dividend policy reaching 35% payout ratio of basic EPS by 2024. This year, we determined the payout ratio to be 30%, up from 28.5% last year. Since the expected basic EPS of this year is JPY 336.58, the annual dividend is JPY 101 per share, a record level for the group. The group split this annual dividend into interim and year-end dividend by 50 to 50. Today, the Board decided on JPY 50.5 for interim dividend and confirmed the JPY 50.5 for the final dividend payable in 2022. To conclude, the comprehensive review and accelerated transformation we embarked upon 12 months ago has delivered results. Strong revenue growth and highest first half margin in 5 years; line of sight to achieving margin targets one year early, both in DJN and Dentsu International. We restructured our balance sheet to release capital, and we started investing for growth. We recently announced LiveArea acquisition. On improvement in shareholder returns, record dividend for fiscal '21, and JPY 30 billion buyback announced in February, which is underway. Looking forward, the group will benefit from the cyclical recovery in fiscal year '21 and the structural growth in customer transformation and technology in '22 and beyond. Thank you for your heartful support. I will now pass over the microphone to Yamamoto-san.
Toshihiro Yamamoto: Thank you, Soga-san. I am Yamamoto. I'll deliver the update on the medium-term management plan. Please refer to Page 19. I would like to start with our purpose. This is Dentsu Group's purpose. We exist to realize a better society by contributing to the growth of our clients, partners, people and all consumers. This purpose philosophy permeates everything we do as an organization as we look to drive growth through good. Please turn to Page 20. The change in consumer behavior over the past 18 months has led to increasing complexity across the media landscape for our clients. As consumer expectations of brands continue to grow, the need of our clients continue to expand. They need of a agility of a strong media offer to create a seamless consumer journey, connecting all touch points as brand and performance marketing become increasingly integrated, leading to greater accountability for media spend linked into sales. And finally, clients need a strong technology platform powered by first-party data to connect and create a holistic view of their consumers, then to support our clients by playing a key role in driving customer experience transmission with our analytics and technology expertise combined with our consumer-centric approach. Our services go beyond marketing to reflect the transformation required to meet the needs of customers, including sales and commerce and service. This requires orchestration of the full customer experience, starting from the product itself and continuing across the entire customer life cycle, from awareness, to consideration, to purchase, and to a service and loyalty, with responsibilities across the entire C-suite. Our clients are looking for partners with agility and efficiency. We can support them in a wider range of services. Our long-tenured trusted client relationship, multi-disciplinary expertise, continuous learning environment and unique culture place us in our prime position and to support our clients in this fast-changing environment. Page 21, please. Integrated growth solutions remains a center point of our vision, combining our long-standing expertise in marketing communications with customer transformation and technology to drive growth for our clients. I would like to explain our customer transformation and technology at this point. It is our service and capabilities to transform a company's foundation through its data management, digital experience and organizational infrastructure to one that empowers our customer-centered strategy of being agile to follow and meet customer demand with innovative personalized experiences. As our clients expect a deeper impact, their transmissions will be -- not being limited to marketing, but to HR, finance, IT, supply chain, products and services and other functions. So by growing our revenues in customer transformation technology, we expand the available market by opening up the new contract -- contacts with the CEO and CTO, CIO, COO, the entire C-suite. All of whom are responsible for owning and maximizing the total customer experience. We will bring together the customer transformation technology capabilities across the group to provide the integrated group solutions to client companies, contributing to the clients and our own growth. The -- expanding into customer transformation technology also benefits our marketing communication business as clients look to build seamless consumer journey as we own such capabilities. Page 22. Our exposure to customer transformation and technology continues to grow from last year. By the end of June, this reached 29.4% of our consolidated revenues, a 24.6% from Dentsu Japan Network and 33% from Dentsu International, increasing our exposure by 180 basis points. As stated earlier, customer transformation technology is an important other half of our value proposition to our clients, integrated growth solutions, which gives a halo effect to our marketing communication service. In other words, it is not a zero-sum game, but a plus-sum game. It is our aim to reach 50% of our group revenues from customer transformation and technology over time. Page 23. Last month, we announced the acquisition of LiveArea, a global customer experience and a commerce agency that will join our local brand. I would like to welcome more than 600 employees. All of whom will transition to local of the Dentsu Group. This integration means a lot to the business of the entire Dentsu Group. LiveArea's risk capabilities include commerce experience, design, technology and strategy. These capabilities will accelerate the growth of the customer transformation and technology. And as I've been repeating, they are expected to deliver the halo effect to the marketing communication and elevate the quality of the integrated growth solutions. In line with our ambition to deepen our client relationship, 50% of LiveArea's revenues are from ongoing managed services to existing clients. LiveArea's revenues are generated mainly from the U.S. and EU. About 50% of the staff are located in low-cost locations, in line with our strategy of increasing the use of near and offshore locations. The growth of our solutions and revenue will be delivered shortly. Page 24. In February, as we look forward, we set our medium-term goals of sustainable growth through transformation for the business against 4 pillars: one, transformation and growth; 2, operations and margin; 3, capital allocation priorities and shareholder returns; 4, social impact and ESG initiatives. I would like to hand over to Hiroshi Igarashi, CEO of Dentsu Japan Network, and Wendy Clark, Global CEO of Dentsu International, to cover the four pillars of transmission and growth. Igara-san, please?
Hiroshi Igarashi: Thank you, Yamamoto-san. This is Igarashi, CEO of Dentsu Japan Network. Page 26. Dentsu Japan Network is aiming to become an integrated growth partner who contributes to our clients and societies, a sustainable growth by delivering integrated growth solutions and realize our own growth by differentiating from our competitors. To achieve this, we are focusing on the following 3 action. The first is the development of the capabilities that can contribute to clients' transformation. We consider that the collaboration among the 4 business domains, Dentsu Japan Network has defined it's necessary to contribute to our clients' transformation and sustainable growth. All business range, including advertising transformation for the evolution of the marketing communications, and the 3 business domains inside customer transformation and technology. Business transformation to overarch the entire business transformation, customer experience transformation, which thrives to innovate customer experience, and digital transformation that focuses on the delivery of the marketing platform transformation will upgrade their capabilities organically, inorganically and through the collaborative network inside and outside the group. The next focus is about the wider and deeper client relationships. As the challenges our customer faces become more complex, it is becoming more natural for different functions inside clients organization to work closely to realize transformation. For instance, even when the priority is the transmission of the marketing, other division such as the supply chain, and the HR divisions will be involved. To support our clients' transformation efforts, we set one of the integrated group partner model goals to establish wider and deeper client relationships by extending the reach to CEO and other chief offices. Consequently, we would be responsible as well for budget outside of marketing. Lastly, our focus on longer-term partnerships and clients. As clients transformations are required to have business impact at a deeper level, we will need to behave as a long-term partner rather than a campaign-based short-term contractor by connecting the services from our foreign business domains and working together with our clients to achieve the transformation. Our client relationships will evolve into partnerships. Our revenue model would become more -- be current and structural as well. On the following slide, Page 27, I would like to introduce an example of how we are building the wider and longer-term partnerships with a client. As our CEO, Yamamoto, reported at the beginning of the presentation, Dentsu Group was chosen as 1 of 3 partners of JP Digital, a newly established company inside the Japan Post Group. Looking back at our history with Japan Post Group, we have supported them with their marketing and public relations activities. And since March, Dentsu employee has been secondment to the dual executive post of Japan Post Holding and Japan Post, which oversees the marketing communications for more intimate collaboration with Dentsu. In addition to this, being selected as a partner of JP Digital that leads the digital transformation of the entire Japan Post Group, including the personal service, retail bank and the insurance business, this move will have a huge and long-term impact to Dentsu. We can offer integrated growth solutions, combining the marketing communications and the customer transformation technology through our dedicated team with the secondment of employee and other divestitures from the entire Dentsu Japan Network. We are very proud to be a partner of the digital transformation of the Japan Post Group, who is highly responsible for the people's infrastructure in Japan. That is all for me. And now I would like to hand over to Wendy Clark. Over to you.
Wendy Clark: Thank you, Igarashi-san. This is Wendy Clark. It's been a strong quarter for Dentsu International, posting a record 17% organic growth rate and operating margin delivery continuing to beat expectations. And I would like to add my personal thanks to everyone in the business for driving these results. Our teams are focused and working incredibly hard. Q2's performance demonstrates the positive impact of our comprehensive cost review and accelerated transformation program as well as the beginning of restored consumer confidence and client reinvestment. Now our entire focus is to drive sustained growth and profit delivery in line with our ambitions. This slide synthesizes the tenets of our growth strategy, focusing on simplification, transformation and industry leadership. As announced last year, we are simplifying our organization and optimizing our brand portfolio from 160 disparate brands to 6 global leadership brands. And we are already seeing results. Since announcing last year, we are roughly 1/3 of the way to the end of our 2022 goal and now sit at just over 100 brands. Relatedly, we have an increasing number of clients taking services from all 3 service lines as we expand and deepen our client relationships. Our client referral score, which is a measurement of client satisfaction, is at an all-time high. And our employee engagement score stands at a 3-year high point, with one of our strongest metrics now being connection to manager as we've removed layers of internal management as part of our brand optimization. In transforming our organization, we'll continue to invest for growth. As Yamamoto-san mentioned, we are pleased to welcome LiveArea and the 600 end-to-end commerce experts within that business. The deal will bring both revenue and cost synergies. And we have a clear and immediate integration plan that I look forward to updating you on in coming quarters. We are investing in key leadership talent. And I'm so pleased that Fred Levron will be joining us as Global Chief Creative Officer in November. Fred joins from FCB, where he helped to lead that network to Agency Network of the Year for 2021 and 2020 at Cannes last month. And we are accelerating our investment behind our integrated technology platform, Dentsu Connect. This technology spine provides end-to-end workflow and automation for our teams, our partners and our clients. Finally, we continue to lead the industry in critical areas, including with technology alliance partners, maintaining our position as Salesforce's number 1 global agency partner, a position that was strengthened with the LiveArea acquisition. Our median new business pipeline stands at just over USD 8 billion, [ph] with 87% of those new business opportunities as offensive. And we are strengthening our industry-leading sustainability position as the only agency network with an A- sustainability rating, as ranked by third-party nonprofit CDP, and our net zero commitment by 2030 underpinned by science-based target along with our recent announcement to reduce emissions from flight by 65% by 2030. Our growth strategy is focused and single-minded to become the most integrated agency network in the world, helping to create agile, efficient growth solutions for clients through our integrated capabilities, as my next slide shows with the case study for IKEA. We go to the next slide. When the pandemic struck in early 2020, like many companies, IKEA needed to adapt, accelerating its digital transformation at its stores, which is, of course, the major route to market as those stores remained closed. As an existing partner of IKEA, Dentsu acted quickly. Working together, we identified an immediate short-term opportunity to grow online sales and a long-term opportunity to build the brand to find new and innovative ways of connecting with consumers. Our media and CXM team swiftly came together to accelerate the integration of IKEA's first-party data, creating a single view of their customers, along with our creative team implementing the new commerce experience. Our e-commerce capabilities combined with technology expertise and a consumer-first planning mindset saw us helping to deliver transformation and growth to IKEA, resulting in a 60% increase in online sales in 2020 as well as helping to prepare the business for the future of a cookieless world. We established a new level of client and agency collaboration, embedding our specialists within the IKEA teams on an ongoing sarcoma [ph] and developing new agile ways of working, resulting in a new teaming partnership as a catalyst for transformation. Out of disruption, came opportunity and transformation, and we are proud to help deliver an integrated solution driving growth for IKEA. Now I'll hand back to Yamamoto-san.
Toshihiro Yamamoto: Thank you, Wendy. Now please refer to Page 31. The next pillar of our mid-term management plan will be explained, which is operations and margins through simplification. Dentsu Japan Network already have announced the first cases of the brand consolidation to further simplify our structure, and more than 20 group companies will move to the headquarters building in Shiodome to drive deeper collaboration. Another publicly announced information is Dentsu Japan Network is preparing to upgrade and centralize our corporate functions, deduplicating where needed and driving increased specialization of services. And as Wendy has explained, at Dentsu International, brand optimization continues with our aim of reaching 6 leadership plans by fiscal year 2022. This has led to the deduplication of services and functions, which is a simplification and cost reduction. Our offshoring and nearshoring strategies and long-term transitions that will continue to deliver margin over time. We have now reached 30% of our CXM service line are in offshore locations. We have achieved over 100% of the planned of property cost reductions for this year. And have progressed to about 25% of the plan of reducing 300 illegal entities by year-end. The next page which is Page 32. Third pillar is the capital allocation and shareholder returns. I already have mentioned that our great opportunities through investment in organic and inorganic growth. And as Soga-san has touched upon, we retain our disciplined approach to our capital allocation and continue to review the non-trading assets on our balance sheet. The negotiations of the headquarters building sale and the leaseback continue. And we will update the market when we have further news. I am pleased to announce, the buyback announced in February is now underway and that we have confirmed our target of progressive dividend approach with a 30% payout ratio in fiscal year '21, up from 28.5% in fiscal year '20, delivering a record dividend for 2021, as mentioned by Mr. Soga. I would like to hand over again to Wendy to go over the final pillar. This is regarding the Dentsu. Wendy will be discussing this because she is Chair of the Dentsu Sustainable Business Board. Wendy, please.
Wendy Clark: Thank you, Yamamoto-san. Our final pillar covers our social impact and ESG strategies. In February, we announced the launch of Dentsu Sustainable Business Solutions, a commercial approach that sits at the core of the group's business strategy, delivering at the intersection of our clients' growth and good agendas. In the last 6 months, we have codified our ways of working, best practices and case studies, and are now moving into training and deployment of this work across our global network. Dentsu's Sustainable Business Solutions supports our clients' business growth while integrating our clients' sustainability goals. The question facing every boardroom is, how to grow business in a sustainable manner? Then to strengthen this area draws from our industry leadership and experience for our own company as well as a breadth of client work and experience. One such example is work for Novozymes, a world leader in biological solutions. Working together, we developed an app, Plant Assistant, powered by image recognition software and AI to analyze wastewater. In fractions of seconds, Novozymes can determine the type of bacteria in the water, suggesting the most gentle biological method of treatment. Plant Assistant has reduced analysis of water samples from weeks to just seconds, leading to a faster way to clean water. Now I'll hand back to Yamamoto-san.
Toshihiro Yamamoto: Thank you, Wendy. Page 34, please. We remain committed to the targets we laid out in our medium-term plan announced in February. Page 35. Finally, in summary, we have seen a strong rebound in revenue combined with outstanding margin delivery in the first half, and believe the clients remain active as we enter the second half. The post-pandemic cycle recovery will continue to benefit the Group throughout 2021. And we remain well placed to capture structural growth in customer transformation technology in 2022. Our financial guidance of high single-digit organic growth and the line of sight to deliver our 2022 margin target 1 year early, show our confidence in the group's outlook. We are seeing the results from our transformation. And I would like to thank you and -- for your support. Thank you very much.
A - Chuya Aoki: The first question will be by SMBC Nikko Securities, Maeda-san.
Eiji Maeda: I am Maeda of SMBC Nikko Securities. Then I have 2 questions. First, organic growth rates, Q2, 15%. That was quite high. The market, in general, did enjoy high growth rate, and thinking about the slump in the previous year, this was probably natural, not extraordinary. But from your perspective, in comparison to the market average or your peers, do you think that you've been able to outperform the market or your peers? Not all of your peers have announced the most recent quarter's results. But intuitively, how do you evaluate your position against your peers? And can you also describe the reasons why that you have such perception? A related question. For this fiscal year, between 5% to 10% growth or the higher teens growth. But isn't that too conservative? Can't you achieve higher growth rate? So that's my first question. And secondly, on transformation costs. The pace of increase of transformation cost is slow. Do you think that the cost will be smaller than you had expected? Or do you think the pace will accelerate in the second half? And also, cost reduction effect, the positive cost reduction, do you expect that to be bigger than you had originally expected? And why so if that's how you think? So those are my 2 questions.
Toshihiro Yamamoto: Maeda-san, thank you. This is Yamamoto speaking. On the first question, I will ask Soga-san to speak and then Wendy to add to Soga-san's comment. Please go ahead.
Yushin Soga: This is Soga speaking. And thank you, Maeda-san, for your question. On your first question on organic growth, on group-wide basis, DJN and DI International, on those 2 entities, DJN and DI, for International, last year, Q2, minus 20%. This Q2, 17% plus -- plus 17%. If we look at this single quarter, we haven't gained back or recovered back to the 2019 level. If you look at the situation of our peers, there are some peers that have already recovered to 2019 levels. That being said, have -- can we say that we've outperformed our peers? If that's your question, it's difficult to give a clear yes. 2021, in this fiscal year, we are still midway. In terms of transformation, we think we are smoothly recovering from the pandemic, but we're still in the midst of transformation. For the domestic business, last year, Q1 and Q2, the figures weren't so bad for the domestic business. So the competitive bar is high. That being said, for Q2 -- or first half of this year, growth wasn't really bad. But can we both say that we've done incredibly well? No. We're not there yet because the natural economic recovery from the pandemic still faces risk or skepticism, which means that in Q3 and Q4, we would have to work hard to sustain growth to recover from the 2020 lows of the pandemic. In comparison to the peers, are we outperforming their pace of recovery? Even if we look at the Japan business alone, we're still midway in terms of recovery. That's it for me. Thank you.
Toshihiro Yamamoto: Wendy, please go ahead if you have anything.
Wendy Clark: Yes. Thank you, Yamamoto-san. And thank you for the question. To your first point, on our organic growth rate. If we look at the international business versus peers, we are absolutely in the mix on our growth rate. And if you look at it sequentially versus Q1, at a negative 3.5% in Q1 and now at a 17% growth rate in Q2, we have [indiscernible] than we were before. So I think you're seeing us close the gap on our competitors. We are absolutely in the mix. And I have a measure of confidence looking forward for the rest of the year that we will remain in the mix from an organic growth perspective. To your question around the high single-digit projection for the rest of the year. We have confidence around that number. I think we have to have cautious optimism here because of the unknown still low of pandemic. But I think what you're seeing us, get with the margin delivery now is a grip on the business. We have a grip on the costs and are able now to deliver our margin ahead of expectations in year. And that gives us a measure of confidence, too. So from that perspective, I would regard -- from an international business perspective, it's absolutely in the mix with our competitors now here as we close Q2. To your question on transformation costs, we have line of sight to achieving 94% of our committed transformation costs here as we sit in the midpoint of the year. And so I think you're going to see us deliver on what we said we would do. I hope that becomes a theme that you expect of us. We say we're going to do something, and we do it. We have that confidence of delivering that. As you know, the payback period was an 11-month payback period. So we're having that benefit in year in 2021, which allows us then to move into a period of structural growth into 2022. So we present these indicators and this performance in Q2 with a humble confidence as we look out to the rest of the year of absolutely being in the mix with our peers. Thank you.
Toshihiro Yamamoto: Wendy, thank you. On the second point of structural cost, Wendy has already delivered much explanation. But Soga-san, do you have anything to add?
Yushin Soga: Yes. This is Yushin speaking. Maeda-san, you asked some costs. You said the increase is slow, but is this going to shrink? As mentioned by Wendy, yes, it will decline. Is the impact the same? The impact will be the same. Against the expected effect, the cost is smaller than we had originally assumed.
Chuya Aoki: Thank you very much for your question, Maeda-san. We will move on to the next question. The next question is from Ishihara-san of Daiwa Securities.
Taro Ishihara: This is Ishihara of Daiwa Securities. I have 2 questions. First question is regarding the Tokyo Olympic Games. There was excitement, and it was concluded. What kind of contribution will it have on the performance of the company? Second question is the following. Guidance has been disclosed at this time. And the headquarter building sales, JPY 87 billion. If we exclude that, for the second half, operating profit ratio, JPY 38 billion is the calculation that I have made. So it seems that your guidance is very conservative. Looking at these numbers, for the second half operating profit compared to the first half, is it going to be lower according to your expectations? Can you elaborate further?
Toshihiro Yamamoto: Ishihara-san, Thank you for your question. I would like Soga-san to respond to 2 questions.
Yushin Soga: Yes. This is Soga speaking. Thank you very much for the question. Regarding Olympic/Paralympic games, how is this going to have an impact on the performance, is your question. Unfortunately, for specific events as well as specific client profitability, questions cannot be responded to. So I would like to refrain from giving you a straight answer on this question. However, for the group, we have a business in 140 countries of the world. And the Japan business is account for 40%. Olympic/Paralympic Games is a big event. But it is one event. And for the personal actuals as well as the outlook for the second half, the impact of the Olympic and Paralympic is limited in this context. Now regarding the guidance, for the first half, JPY 30 billion in terms of property sales. And for the full term, there's about JPY 90 billion profits from the sales of property has been assumed. For the second half, the operating profit numbers is not with me today. But for the third quarter and fourth quarter, the recovery from COVID-19 as well and increases on that, there are still risks and concerns. And that is the reason why our guidance is somewhat conservative. For the past several years, the guidance that we have been providing to the market and the result taking the deviation into consideration, as I have mentioned in February, for the guidance we have provided to the market, we have a strong intention to achieve that. And that is a basis of our guidance. And therefore, you -- we do believe there could be upside as well. So that is how you should interpret the numbers. That is all for me.
Chuya Aoki: Ishihara-san, thank you for the question. Next question, Fiona Orford-Williams-san.
Fiona Orford-Williams: Fiona Orford-Williams from Edison. First of all, can I ask about the transformation program at Dentsu International? You said it's about 1/3 of the way through. Can you let us know whether that's progressing as planned, whether there have been any difficulties on the way, lessons learned? Is it just the low-hanging fruit that have been sorted so far? And my second question is in terms of the operating margin. If we've now got line of sight for the FY '22 margin to be achieved in FY '21, how should we be thinking about prospects for FY '22?
Toshihiro Yamamoto: Yamamoto speaking. Fiona-san, thank you very much. On the first question, I will ask Nick to respond. And then if Wendy would like to add, please add after Nick.
Nick Priday: Thank you for your question, Fiona. Yes. Look, I think the headlines are that the accelerated transformation program is actually going really well, as Wendy explained a little bit earlier. We are about 1/3 of the way through our target to brand rationalization. About 1/3 of the way through the reduction in legal entities planned. And we plan to reduce our legal entities this year by about 300, so not insignificant. We've achieved about 100% of our property cost reduction. And overall, met almost 3/4 of our overall savings target. So it's been really good progress. And I think what I would say is that we've done that at a lower cost than we had previously contemplated. That's for a number of reasons. I think we've managed to execute against this plan really quite well from an operational perspective. We have used some third-party support, but less than we've contemplated. We've been able to exit some properties for a lower cost than we'd previously contemplated. And then we've had to spend less on severance than we budgeted for because of a rise in attrition levels across our business, which does pose some challenges for us. But at the same time, it's meant we've been able to deliver these savings, some line of sight to these savings for a reduced cost or bill. And so I think that's been very positive. And that's obviously given us the confidence to underpin our margin performance for 2021. Demonstrates the momentum we have in our business in the first half, which we expect to continue for the second half. Thank you.
Wendy Clark: This is Wendy. I'll just add, Fiona, to the second part of your question. Our long-held margin ambition is 15%. We will achieve that a year early, and we are heading into '22 with the confidence of that delivery. And so we're going to stick with that projection at this time.
Nick Priday: Yes. Just to pick up on the margin for 2022. As you say, Fiona, we've -- we have got the confidence of delivering that margin goal of 15% in 2021 now. That's our focus, to make sure that we can deliver on that margin goal for this year. As I've said, we've acted swiftly in terms of our accelerated transformation plan. We're making really good progress, as I've just outlined, in terms of that transformation effort. We've implemented operational excellent models across our business functions. We're increasing efficiencies and centralizing processes all the time, such as centralized HR platforms, payroll systems across the business. It's taken a huge amount of effort across the entire organization. And a lot of thanks to all of my colleagues and our colleagues who are helping with these efforts. At this point in time, we're focused on that 15% margin goal. But once that's been achieved, and perhaps later in the year, we can consider where margin goes from there. But I'd say we're committing to sustainably delivering that 15% margin goal. And we do have good momentum as we move forward into the second half and into next year.
Yushin Soga: So what is it? This is Soga speaking, Fiona, let me add a comment on Japan business operating margin. Like DI, in 2022, our goal was to reach 20% operating margin in 2022. But due to cost control and recovery of business, we're confident -- or we've achieved that one year ahead. I've commented on margins before, but we want to sustain improvement, but that depends on business growth as well as the cost to achieve this business growth. So first and foremost, we achieved 20%. And then we rethink to what extent we can further improve margin by monitoring the business trend. So Nick spoke about Dentsu International. But as far as Dentsu Japan Network is concerned, the situation is more or less the same. Thank you.
Chuya Aoki: Thank you very much for your question. We will now take the next question. The next question is from Panjwani Rajesh-san.
Rajesh Panjwani: So first of all, congratulations for a very good performance in the second quarter as well as it is good to see the dividend per share going up quite sharply. I have 2 questions. First, based on the pitch activity, what you are seeing right now, do you think the strength we are seeing in Y-o-Y growth this year will spill over to the year 2022? And second, when are we likely to get further information and what will be the use of proceeds for the -- from the sale of Dentsu headquarters?
Toshihiro Yamamoto: Thank you very much for your question. This is Yamamoto speaking. Regarding the first question, second question, I would like to ask Soga-san to respond.
Yushin Soga: I thank you for your question. To your first question. Regarding the pitch environment in the recent past, has been very favorable. And whether this is going to continue in the fiscal year 2022, is the question. For the pitch environment, it's always changing. And for fiscal year 2022, it's very difficult to forecast at this time. However, having said that, from advertising, we are also moving to customer transformation technology. We are now trying to drive growth in this area. The clients must meet their challenges. And as an agency, there is high expectations from the clients. Therefore, the conventional type of expectations to the agency is no longer the case. Integrated Growth Solutions are increasingly called for. There are not many agencies that can provide that in the market. And therefore, in the mid-term management plan as you can see is where we intend to grow our business by having best evaluated by the plans, I believe that the pitch environment will continue to expand. To your second question, regarding the Shiodome building proceeds, how is this going to be used, that was your question. For the Shiodome headquarters building, sales for the building and as well as the land, it was announced in the end of June. Regarding the sale, there is no additional information that I can share with you today. In the comprehensive review, the non-trading assets is to be sold. By going through business transformation, we want to make sure that it will lead to future growth. First and foremost, we will make investment for future growth. Furthermore, and regarding cash on hand as well as shareholder return will also be considered in terms of the cash allocation. This is our policy in terms of capital. Once the sale is completed, taking all the factors that I have mentioned into consideration, if necessary, the appropriate timing and the appropriate method, we will communicate to the market. That is all.
Toshihiro Yamamoto: Wendy, please go ahead for the first question.
Wendy Clark: Yes. Thank you for the question on the pitch pipeline. As previously referenced, we have line of sight to about GBP 8 billion [ph] U.S. in -- actually, pound, sorry, in the current media pitch pipeline. Close to 90% offensive for us. So that's a really positive position we find ourselves. And we are competing and converting, and we're in the midst of that now. Your question is, does that carry into 2022? I think we'll see some normalization. I mean in the last quarterly call, we called it pitch palooza. I think it is going to normalize a little bit in 2022. Although we have seen a handful of very large clients who had planned pitches this year delay now into 2022 given the volume and their sense that they would not -- their pitch wouldn't get their particular attention that they wanted. So there is reason to believe that at least some of this will head into early 2022. But again, we do -- I think it's fair to say we're experiencing a bounce back. We're experiencing the restored confidence of brands as they're reinvesting very quickly. I do think that normalizes into 2022, and that's in line with our stated midterm projections on organic revenue growth. So we've accounted for that in our planning for sure. Thank you.
Rajesh Panjwani: Can you tell us a bit about how does this GBP 8 billion [ph] pipeline compare with, let's say, last year or year before?
Wendy Clark: Yes. It is significantly higher than last year. It's about anywhere between 30% to 50% higher than we experienced. We did see -- I think it's fair to say, a lot of people put their pitches on pause last year. And so again, they had planned pitches during a pandemic with many unknowns. We saw people push them into 2021, which is why we're seeing such high volume and activity right now, which, again, I think, normalizes into 2022. So it is higher, but I don't think it sustains quite at this level.
Chuya Aoki: Mr. Rajesh, thank you for the question. There are no further people who have risen their hand, and we are close to the ending time. So with this, we would like to conclude today's earnings call. Thank you again for attending Dentsu Group Q2 Fiscal Year 2021 Earnings Call. We are most appreciative of your participation. We know you're busy. Thank you for joining us. Please click the exit button of the Zoom and leave the conference. Those of you who are using telephone lines, please hang up. And in a few moments, we will conclude the meeting. Again, thank you for joining us.
Toshihiro Yamamoto: Thank you. This is Yamamoto. Thank you, again.
Hiroshi Igarashi: This is Igarashi. Thank you very much.